Operator: Good afternoon. Welcome to the Amprius Technologies Third Quarter 2025 Earnings Conference Call. Joining us for today's presentation are the company's CEO, Dr. Kang Sun; President, Tom Stepien; and CFO, Ricardo Rodriguez. [Operator Instructions] Please note that this presentation contains forward-looking statements, including, but not limited to, statements regarding our financial and business performance, our business strategy, future product development or commercialization, new customer adoption and new applications, our growth and the growth of the markets in which we operate and the timing and ability of Amprius to expand its manufacturing capacity, scale its business and achieve a sustainable cost structure. These statements involve known and unknown risks, uncertainties and other important factors that may cause Amprius' results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied in such forward-looking statements. For a more complete discussion of these risks and uncertainties, please refer to Amprius' filings with the Securities and Exchange Commission. This presentation includes a non-GAAP financial measure, which is adjusted EBITDA. This non-GAAP financial measure does not replace the presentation of Amprius' GAAP financial results and should only be used as a supplement to, not as a substitute for Amprius' financial results presented in accordance with GAAP and may not be comparable to calculations of similarly titled measures by other companies. A reconciliation of adjusted EBITDA to net loss, the most directly comparable GAAP financial measure is included in our shareholder letter, a copy of which is filed with the SEC and posted on our website. Finally, I would like to remind everyone that this conference call is being webcasted, and a recording will be made available for replay on the company's Investor Relations website at ir.amprius.com. In addition to the webcast, the company has posted a shareholder letter that accompanies these results, which can also be found on the Investor Relations website. I will now turn the call over to Amprius Technologies CEO, Dr. Kang Sun, for his comments. Sir, please proceed.
Kang Sun: Welcome, everyone, and thank you for joining us this afternoon. On today's call, I will begin with a brief company overview. After that, our President, Thomas Stepien, will recap our third quarter performance and the key accomplishments. Next, our CFO, Ricardo Rodriguez, will discuss our financial results for the period. I will share some closing remarks before opening the call for questions. Let's begin. Amprius is a pioneer and leader in silicon anode battery space with over a decade of development experience and a proven track record of commercial success. At Amprius, we develop, manufacture and market high energy density and high-power density silicon anode batteries with applications across all segments of electrical mobility, including the aviation and light electric vehicle industries. Today, Amprius has the most complete commercially available portfolio of silicon anode materials system in the industry and commands performance leadership with its combination of battery energy density, power density, charging time, operating temperature range and safety. Across our battery portfolio, we believe we offer unmatched performance among the commercially available batteries. Amprius has been delivering commercial batteries to the market with up to 450 watt hour per kilo and 1,150 watt hour per liter, 10C power capability and extreme fast charge rate of 0 to 80% ste of charge in approximately 6 minutes, the ability to operate in a wide temperature range of minus 30 degree up to 55 degrees Celsius and safety design features that enable us to pass the United States military benchmark nail penetration test. Each of these performance parameters is critically important to real-world electric mobility applications. Not only do our batteries empower certain drones, satellites and vehicles to maximize performance, we also enable our customers to achieve their economic targets as well. In addition, Amprius has developed a 500-watt hour per kilo and 1,300-watt hour per liter battery platform that has been validated by an independent third party. It's our belief that there are no other commercial batteries on the market that can perform at this level today. In the third quarter, we continued to execute against our strategy of developing leading battery performance, converting that innovation into customer wins and scaling our manufacturing through a capital-efficient contract manufacturing model. With that, I will now turn the call over to our President, Tom Stepien detail the highlights of our record quarter, Tom.
Thomas Stepien: Thank you, Kang. Amprius finds itself at a very fortunate point in time at the intersection of a fast-growing electric aerospace market with an industry-leading set of battery products. This advantaged situation, coupled with strong execution by our team, allowed us to achieve record revenue in the third quarter. We attracted new customers, continue to optimize our operations and release compelling new products. Let's start with updates on our commercialization strategy and share execution details. In the third quarter, we shipped batteries to 159 end customers, 80 of whom are new to the Amprius' platform. The remaining 79 are repeat customers. Now to be clear, we don't ship to every customer in every quarter. We do expect to gain new customers every quarter, albeit not always 80 new ones, but we expect to gain new customers nevertheless. Since the first quarter of 2023, Amprius has built relationships with hundreds of companies and ship batteries to a total of 444 end customers. This strong and expanding customer traction comes from the superior performance of our batteries compared to traditional cells. As we continue to move new customers through the qualification process, you're also seeing that we have plenty of room for expansion orders within our existing agreements. In the third quarter, our revenue totaled $21.4 million, a 42% increase from the second quarter and up 173% from Q3 2024 a year ago. Our second-generation SiCore batteries led the revenue charge in Q3 with a greater than 4x increase in shipments compared to Q3 2024. SiCore is a proprietary silicon anode that uses standard lithium-ion processing equipment. In August, I visited a couple of our contract manufacturing partners. At one, they were making conventional graphite cells in the morning and in the afternoon, they were producing our SiCore silicon cells. Same line same equipment. SiCore standardization helped us enable a second consecutive quarter of positive gross margin. Ricardo will provide more context here when he reviews our financial highlights next. Looking at our customer base, about 75% of our revenue in the quarter came from the aviation segment, led by unmanned aerial systems, or UAS, market. Remainder of our Q3 revenue was primarily derived from the light electric vehicle sector, which remains healthy but has a lumpier profile due to the customer's variant product introduction cycles. The LEV market tends to have short design in cycles, and we believe our drop in replacement batteries can help us succeed in gaining market share in this growing market. From a geography standpoint, 75% of our revenue came from outside the United States on a ship-to basis. Our strong customer diversification supports steady growth even amid uncertainty driven by U.S. tariffs and customer delays related to the U.S. government shutdown. One of our major wins this quarter was a $35 million purchase order from a leading UAS manufacturer, which we announced in September. This order is a follow-on purchase from the same customer that placed a $15 million order earlier this year. While we continue to grow our customer base across geographies, applications and budgets these kinds of large repeat orders underscore the built-in growth engine that we have within our growing customer base. It also highlights a proven performance at scale of our batteries. During the quarter, we also deepened our relationship with another key customer AeroVironment. As a part of the U.S. Army's xTech Prime program we shipped samples of our ultra-high energy cells for evaluation in a variety of applications. These cells reach up to 520-watt hours per kilogram and vastly improved endurance, payload capacity and mission economics for high-altitude platforms. Another key Amprius partner in the drone segment is Nordic Wing in Denmark. In Q3, they chose our SiCore cells to power their UAV platform after an extensive qualification and evaluation period. Their Astero ISR is a fixed-wing craft with a wing span of about 2.3 meters. In its standard configuration, it weighs around 4.5 kilograms. ISR is an acronym for Intelligence, Surveillance and Reconnaissance. In drone speak, intelligence is the collection, processing and analysis of information to support decision-making. For example, drone cameras will see the beginnings of the forest fire and the built-in smart analytics will make a decision to send a dispatch signal to the appropriate firefighting equipment. Surveillance is the systematic observation of an area, person or activity over time, continuous monitoring of a border or a convoy route, for example. Reconnaissance is a specific mission-focused gathering of information, usually short term and targeted. Is the fire really extinguished? The Astero ISR with the Amprius SiCore batteries flies 90% longer than with standard cells, 90% improvement, almost twice the flight time. Astero stays airborne longer, covers more ground and delivers real-time intelligence without interruptions. This enhanced endurance doesn't just improve performance. We believe it redefines what's possible in every mission and can mean the difference between success and failure. Looking a bit further out, we continue to make inroads in our relationship with Amazon. After being selected for the inaugural Amazon Device Climate Tech Accelerated (sic) [ Amazon Devices Climate Tech Accelerator ] cohort in July 2025, we successfully advanced to the integration assessment phase. This stage involves comprehensive testing of feasibility, customer value proposition, sustainability impact and supply chain readiness. We are excited about this opportunity to continue working with Amazon in this next phase, and we'll share further updates as we are able. All of these recent customer wins further demonstrate our ability to scale up to meet volume purchase orders, which we believe will continue to increase as we expand our customer funnel, and continue to extend the state-of-the-art that our cells provide. State of the art includes external testing. We rigorously test new products both internally and send them to external labs where they are tested against international safety standards. These include United Nations 38.3 standards maintained by the International Electrotechnical Commission and for our customers in India, the Bureau of India Standards. This quarter, we introduced 2 new SiCore pouch cells and 3 new SiCore cylindrical cells that are optimized for unmanned aerial systems high-altitude platform systems and the electric airplane duty cycles. We call these balanced power and energy cells. Electric aerospace platforms typically require balanced cells. You need high power, high sea rate, capability for takeoff and landings and you need the high energy to enable long range. Products like these balance cells further differentiate Amprius from traditional battery players. Many of our end customers participate in shootouts and fly-offs competing for their own contracts. They need to demonstrate best-in-class performance. We help them win. Our batteries give them more kilometers, allow additional kilograms and provide more watt hours that support their onboard intelligent components. We believe that the electric aerospace is on the cusp of a multiyear transformation propelled by defense and commercial demand for a new era of AI-driven autonomy. McKinsey estimates this market is $40 billion to $50 billion today, growing to $80 billion by the end of the decade. About 10% of that market and 10% of the drone's bill of materials is for batteries. Recent regulations and policy changes appear to be market accelerants. The U.S. executive orders over the summer that promote domestic drones is one piece of evidence. A second is the proposed changes to the Beyond Visual Line Of Sight rules that the U.S. Federal Aviation Authority is debating. BVLOS is a significant unlock for drones. We expect these policy actions will accelerate adoption time line and open new opportunities across the board. We've already experienced strong traction from the defense market and expect growing interest from these customers in the year ahead. Estimates show that the more than $10 billion from the One Big Beautiful Bill will be allocated to defense and unmanned systems, and we believe that we are well positioned to benefit from this increased funding. Anecdotally, we have already seen optimism surrounding the government funding translating to strong buyer intent. Last month, we exhibited at the AUSA Conference in Washington, D.C. where we met with dozens of defense contractors that are either interested in or already using our products for their drones. We also attended U.S. and international conferences. Commercial UAV Expo in Las Vegas, Defense and Security Equipment International in London and the DroneX Expo also in London. At all of these events, we heard a similar message, "drones are an important part of the future, and Amprius batteries are at the forefront of innovation to power them." As a key component supplier for unmanned drone systems, we have had our own success working with the U.S. government. As we discussed during our August 2025 call, we are working closely with the Defense Innovation Unit. Our DIU contract gives us funds to increase the capacity of our Fremont, California pilot line to 10-megawatt hours and expand our capabilities to support quick turn SiCore customer prototypes. Since our last update, we have received an additional $1.5 million follow-on contract, bringing our DIU contract total to $12 million. Our program mandate includes qualifying individual lithium-ion battery components from National Defense Authorization Act, NDAA, compliance suppliers, which will allow us to work more seamlessly with the DoD. This includes considerations of the anode and cathode-active materials electrolyte and separator. This effort is part of a large momentum shift to U.S. domestic production of batteries. As we work on building out an NDAA compliant supply chain and production capacity for our customers that require it, we have continued to utilize our contract manufacturers to support our rapid growth. As a reminder, we have over 1.8 gigawatt hours of capacity available to us through our partners, including our most recent added partner in South Korea. Let's put that 1.8 gigawatt hours in context. Our SA08 cell is our best-selling battery. It has an energy rating of 38-watt hours. 1.8 gigawatts over 30-watt hours works out to be about 50 million cells per year. We have tremendous headroom on our manufacturing capacity. This capital-efficient model provides production-grade calls for qualification today and supports our ramp to volume while still allowing configuration control and aerospace aligned quality systems. We are also opportunistically sourcing additional partners to provide us with greater geographic diversification and operating flexibility. As we head into the tail end of the year, we've carried our momentum into the fourth quarter. A few weeks ago, we announced that ESAero another leading UAS company, chose our SiCore SA08 cell to power the group 1 and group 2 UAVs that support defense, security, logistics and public safety applications. They chose us because in their words, "Amprius offered the best combination of advanced battery technology, production readiness and cost competitiveness to meet the program demand." We have talked extensively about our defense applications for our batteries. We see a large and growing opportunity in the public safety markets also. According to a Police1 article, more than 1,500 U.S. police departments have DFR programs, Drone-as-First-Responders. Their systems are tied into the 911 emergency systems and are dispatched to help find a lost child, monitors smash and grab suspects and understand if a fire is a spark or an inferno. We look forward to continuing to support the drone sector as it scales and evolves into more mission-critical and business-critical use cases. On a final note, we also made the exciting announcement that Ricardo Rodriguez has joined Amprius as a new financial officer. Ricardo has a proven track record of driving growth with financial discipline in high-performance markets, and you will serve as a valuable guide as we expand our commercial reach, scale global manufacturing and reinforce Amprius' leadership in the advanced battery technology. Since he joined on October 6, exactly one month ago, we have aligned on objectives, agreed strategies and developed plans. He is a tremendous addition, the right person at the right time. I look forward to working with and learning from him. Ricardo, it's all yours. Please share our financial results for the third quarter.
Ricardo Rodriguez: Thank you, Tom, and good afternoon, everyone. I'm really happy to be on board and reporting our quarterly results on behalf of our team for the first time. After several weeks on the ground working in Fremont, getting to know our team, meeting some of our customers at AUSA and reconnecting with many familiar faces in the investment community that are interested in supporting our company and strategy, I could not be prouder of wearing the Amprius shirt. In the third quarter of 2025, we delivered $21.4 million of revenue. This translates into 42% growth over the second quarter, following the previous quarter's 34% quarterly growth. This is also a 2.7x multiple of the team's revenues during the same quarter last year. Echoing Tom's remarks, our revenue growth was driven by the addition of new customers combined with larger orders from existing customers. Within our customer base, only one customer accounted for more than 10% of our revenues in Q3. Going forward, we plan to continue adding to our customer mix to diversify our revenue base. And we believe that as we develop more diversified contract manufacturing capacity, additional demand can potentially be unlocked. At the end of Q3, we had $53.3 million of orders, including the $35 million order that Tom mentioned, to be fulfilled in the near term. This backlog is 83% higher quarter-over-quarter and it highlights our team's ability to drive demand. Our cost of goods sold at $18.1 million in Q3 did not increase at the same rate as our revenue, thanks to a favorable product mix and higher volumes. This, in turn, enabled gross profit margins of 15%, which is a significant improvement over our gross margins of 9% in the previous quarter. As I discover what makes our team unique, I continue to be impressed by its resourcefulness to make the most with what we have, and that is evident in our quarterly operating expenses of $8 million in Q3, which were down very slightly relative to the previous quarter. The year-over-year increase in quarterly OpEx of $1.9 million was driven by targeted investments in our sales and go-to-market efforts along with the reallocation of some R&D expenses from cost of goods sold to OpEx as development service agreements are completed. These expenses bring our operating loss to $4.7 million compared to an operating loss of $6.8 million in the prior quarter, shrinking our operating loss by over 30% quarter-over-quarter. Our GAAP net loss for the third quarter was $3.9 million or negative $0.03 per share with 126.6 million weighted share -- weighted average shares outstanding. Our adjusted EBITDA in Q3 was negative $1.4 million compared to negative $3.8 million in the previous quarter, thus reducing our adjusted EBITDA loss by over 60%. We define adjusted EBITDA as net income or loss before interest, taxes, depreciation, amortization, stock-based compensation and other items that we do not believe are indicative of our core operating performance. In Q3, these adjustments included $1.2 million of depreciation, $1.8 million of stock-based compensation and $450,000 of interest income. As of September 30, we had 130.4 million shares outstanding, which was up by 5.4 million shares from the previous quarter. The change includes approximately 2.2 million shares issued from option exercises and RSU vesting along with 3.2 million shares issued under our at-the-market offering program. Now turning over to cash flow and the balance sheet. We ended the third quarter with $73.2 million in cash and no debt. The main drivers of cash flow in the quarter were $9.2 million used on operating cash flow, which was mainly driven by a near-term $11.2 million increase in accounts receivable at the end of the period due to our increase in sales, $400,000 of CapEx invested at our facility in Fremont, California and lastly, $28.7 million from financing activities consisting of $25.9 million from the issuance of common stock under our aftermarket sales agreement and $2.8 million of proceeds from option exercises. We still have approximately $20.1 million left available on the at-the-market offering facility as of September 30, 2025. Before I turn over the call to Kang, I would like to take a moment to discuss our outlook for the remainder of the year. We have made a decision to strategically invest in diversifying our supply chain and expanding manufacturing capacity within our Fremont facility to include electrode manufacturing. We are doing this in collaboration with the U.S. Government Defense Innovation Unit and have secured a contract for $12 million awarded in the third quarter of this year. With what we know today, we expect this funding to cover the majority of our capital investments over the next several quarters as we work to develop a growing and resilient source of supply in a dynamic trade environment. As we previously stated regarding the Colorado facility, the designs for the project are effectively complete and we are continuing to monitor the larger industry dynamics associated with building a factory in the United States. Changes in demand, supply, battery cost structure, government incentives, trade tariffs and other considerations, including the timing and availability of funding, will influence our decision on next steps and near-term timing. We have secured adequate capacity for the foreseeable future through our contract manufacturing network and plan to further expand that without deploying additional capital. We also believe that our current revenue levels and even slight improvements from these can put us on a path to mainly consume cash for working capital versus funding operating expenses in the near term. With that, I'm happy to turn the call over to Kang for his closing remarks. Thank you very much for your attention and continued support.
Kang Sun: Looking ahead, we remain focused on delivering next-generation lithium-ion battery performance that raises the bar for energy density and the sustained power without compromising safety or reliability. We are also broadening our product portfolio to better align with the customer requirements and unlock new market opportunities, while converting a growing number of customer engagements into formal qualification and the deployment, particularly across mobility-centric platforms. As demand scales, we will continue to leverage our contract manufacturing partners' capacity to efficiently translate that demand into revenue with disciplined quality and minimal additional capital investment. We are excited about the future ahead and looking forward to meeting and reconnecting with many of you as we attend several upcoming investor conferences. Thank you for your continued interest and support of Amprius Technologies. With that, I will turn it back to the operator for questions.
Operator: [Operator Instructions] And the first question comes from the line of Colin Rusch with Oppenheimer & Company.
Colin Rusch: Congratulations on all the progress. Just on the U.S. capacity. Could you talk a little bit about the cadence of how that will come up and how much capacity it will actually be and where that electrode will ultimately end up getting turned into batteries? Are you looking at potentially qualifying some incremental contract manufacturing in the U.S.? Or will that electrode end up getting shipped overseas and return back to the U.S. as batteries?
Thomas Stepien: Yes. Thanks, Colin, this is Tom. The answer is that we will have in the future, both a U.S. contract manufacturer and contract manufactures in what we are -- what are called NDAA compliant countries, and that includes Korea. We have a contract manufacturer already today in Korea. We announced that in May. So you will see over time both for pouch cells and cylindrical cells additional partners in this network as it continues to expand.
Colin Rusch: That's super helpful. And then being able to qualify different configurations of performance, whether it's through different electrolyte or different balances within these cells is pretty substantial accomplishment. Can you talk a little bit about the cycle time and how much work you've done previously to be able to get some of those different battery configurations? And just so we have a sense of how quickly the platform is evolving from a technology perspective going forward.
Thomas Stepien: Yes, to fully qualify the 11 major components that make up our battery, it will take us -- we've started that already. It will take us to next summer. That's largely being done in cooperation with the $12 million DIU contract that we have. We are turning up. As of today, we have 5 of those 11 components fully qualified NDAA compliant. We're turning the knob on the other 6, and we think we'll do that between now and next summer.
Colin Rusch: And just one last one from me. Just in terms of the cadence of how you're moving customers through the sales funnel, as folks have had these batteries for a fairly substantial period of time here? And you guys have talked about kind of roughly 18-month qualification period sometimes longer, sometimes shorter for customers and you've been sampling now for about 7 quarters out of some of these facilities. Are you seeing folks move towards purchase orders a little bit faster than they have in the past or moved to larger purchase orders? Just want to get a sense of how we can think about some of this pipeline moving into backlog and production?
Thomas Stepien: It's pretty distributed, some qualification happen within 2 quarters. Some take more than a year. It really depends on the complexity of the components at the end and some are larger, some are [indiscernible] per yacht and the other one. So it did across all the 400-some-odd customers that we have.
Operator: The next question comes from the line of Mark Shooter with William Blair.
Mark Shooter: Congrats on the great execution this quarter. The new customers was a big way and a nice jump. It's almost doubled the normal cadence in the past few quarters. So I guess I'd like to dial in on what led to that big step-up in new customers this quarter. Did we get a capacity or a yield breakthrough at the silicon supplier or your battery contract manufacturers that allowed you to ship to more cells? Or did you see an actual 2x increase in demand this quarter from last quarter?
Thomas Stepien: We're definitely seeing an increase in demand as the awareness of Amprius gets out there as we attend more conferences, as we have more wins like we talk about. It gets the attention of other folks. The 80 that we have -- the 80 new that we added this quarter was a little bit of timing. Some of those seeds were planted, as I said to Colin's question, more than a year ago and now are coming through and turning into real purchase orders, other ones were planted earlier this year. So it's a combination of those factors that's leading to the uptick.
Mark Shooter: Great. That's very helpful, Tom. Ricardo, one for you. Congrats on joining Amprius, especially this quarter.
Ricardo Rodriguez: Thank you.
Mark Shooter: I'm hoping if you could just -- of course. Question for you. I'm hoping you could shed some light on the gross margin. The improvement this year has been great, specifically this quarter. Going from 9% to 15%, could you try to break that down to maybe how you see the improvement if you put in the buckets? Is it -- and as I'm thinking about a higher revenue or product mix? Or are you able to maybe raise price in this quarter, seeing the performance of your batteries and the demand for your batteries in the marketplace?
Ricardo Rodriguez: Yes. I mean I think mix was the main driver of the increase from 9% to 15% quarter-over-quarter. If you look at the 15%, I mean, it's in no way where we believe it needs to be, right? A lot of the battery peers even at higher scales are above 20% on the gross margin line. And our goal is obviously to get there and even higher. On pricing, I do feel pretty good about where the pricing levels were for the SiCore product. And that in combination with just a larger share of our revenues being SiCore is what drove the increase, plus, of course, the run rate itself contributed to that. But I think the biggest contributor was really mix because of our contract manufacturing model, right?
Operator: The next question comes from the line of Derek Soderberg with Cantor Fitzgerald.
Derek Soderberg: My congrats to Ricardo as well. I'm just hopping on the call just now, so my apologies if any of these have been asked. The second-generation SiCore, what's the margin profile of that battery?
Ricardo Rodriguez: We haven't laid out explicitly, but the goal is to get that north of 20% at closer to 80% of our capacity, which we still haven't reached, right? So -- but our goal is to just keep pushing that and we're, frankly, testing where that should be as revenue materializes.
Derek Soderberg: Got it. And what are some of the trade-offs between the first gen and the second gen, what might slow down that path to 80% mix of the second generation? What are some of the trade-offs from your customers' perspective?
Kang Sun: We refer first gen the SiMaxx -- SiMaxx is our first-generation product and SiCore is our second-generation product. We don't have...
Derek Soderberg: Okay, so it's not second generation SiCore.
Kang Sun: No, we don't have -- we keep improving. We could say we have second generation, but we may have a third generation already in the lab, but we don't separate it that way, okay? We consider SiMaxx is the first-generation Amprius product and the SiCore is a second generation.
Derek Soderberg: Got it. Okay. That's helpful. And then could you just give us an update on the time line to cash flow breakeven? I think, previously, you guys were expecting that to happen sometime in 2026 potentially or maybe even early '27. But it feels to me like the company is growing faster than expected. You've got quite a bit of scale to work with here and it seems like the customer growth is quite a bit ahead of at least my expectations. Can you just provide an update on path to cash flow breakeven?
Ricardo Rodriguez: Yes. I mean, I think it's tough to pin down a specific quarter for that. But if you take our results from here the most recent quarter, with another $10 million of revenues, we would have had positive EBITDA. And our EBITDA is a very good proxy for cash flow, right, given that it's pretty clean. D&A is not huge and in essence, only the stock-based comp, and we have no I and not T in there. And so it's really just a matter of time for us to get that incremental revenue. And at that point, we can be not just EBITDA positive, but also pretty closely behind cash flow positive as well.
Operator: The next question comes from the line of Ryan Pfingst with B. Riley Securities.
Ryan Pfingst: I'm jumping around calls, so apologies if anything repetitive. But on the margin side, Ricardo, another nice jump quarter-over-quarter here in the second quarter. Just curious if you could give some color on what you expect as we continue to see revenue expand on the margin side?
Ricardo Rodriguez: Yes. I think it's again echoing my earlier point, it's really more driven by mix. We do believe that incremental revenue, depending on the mix of that and the customers that it goes to could be accretive beyond where we're currently at the gross margin level. I'd love to get the company 20% and above here as soon as we can, but obviously, understanding that there are quite a few puts and takes, especially as we look to make a larger portion of our revenues come from the SiCore product versus SiMaxx. So I think as we manage that transition, you'll see us pick up a couple of points of gross margin here. One thing to note is that this is -- this will be lumpy, right, given the not just the customer diversity, but also the product diversity. I do think it's -- we're not totally out of the woods of having fluctuating gross margins. And so I would caution here on modeling something that's just straight up into the right on gross margin as we pick up incremental revenue because there are quite a few puts and takes within it, mainly mix driven that we certainly keep in the back of our minds to make sure that these expectations are realistic, right? But kind of going back to what I said earlier, like, frankly, I'm more focused on the EBITDA margins. And even if gross margins stayed where they were with another $10 million of revenues, we would have had positive adjusted EBITDA, and that's very meaningful progress. And I think it puts us well ahead of our peers, well ahead of anybody scaling a similar product, and this is a testament to the team's focus on having the leanest cost structure possible at the OpEx level.
Ryan Pfingst: Appreciate that detail. And then turning to your manufacturing capacity update, which I know you touched on in the prepared remarks. But curious how important it is to establish contract manufacturing capacity in the United States for certain customers, maybe on the defense side or otherwise related to national security. Does that make it more of a near-term priority for you guys? Or are you able to be patient here with establishing something in the U.S.?
Thomas Stepien: It is important [Technical Difficulty] so they don't have again, sort of ahead of [indiscernible] certain data in 2026. But we know we're [indiscernible] domestic batteries and we [Technical Difficulty].
Kang Sun: Since you cannot hear from Tom clearly, let me elaborate a little bit more. Develop -- we have a fraction of the customer that demand the product made in United States. Currently, the driver for our activity in the United States, primarily from this DIU program. So the DIU program, the Department of War, grant up certain -- $12 million contract require us to build advanced battery silicon anode-based battery pilot line, okay? You can call pilot line, you can cause small production line by next summer. Majority of our customers still oversee customers.
Operator: The next question comes from the line of Chip Moore with ROTH MKM.
Alfred Moore: I wanted to ask maybe on the $53 million in orders, near-term orders. Maybe you could put a finer point on that? Should we think about next couple of quarters potentially on that? And then Ricardo, to your point, around mix and potential for some lumpiness or margin impacts, just anything to call out there?
Ricardo Rodriguez: Yes. I mean, maybe I'll start with the second part of the question, if that's okay. I mean really nothing much beyond what I've already mentioned, Chip. I think we have to work through this backlog, obviously, and that will keep building up. But at the same time, we also need to have the supply in place to fulfill it, right? And that will ultimately be the decade of what the revenues can be in the near term. And on the gross margin side, I'll just echo what I said before, right? I think you can still be lumpy. We do expect progression as we sell more scores a proportion of total sales. And I mean if we would have had another $10 million of revenue that we could have fulfilled, we would have had a breakeven or slightly positive adjusted EBITDA in the quarter.
Thomas Stepien: On the first part of the question, Chip, hopefully, I'm coming through here, is a -- the large purchase order is for a year. It's not necessarily in year that they don't want $35 million divided by 4 every quarter, but there's these different layers of revenue that we're building in, and the backlog is going in the right direction. So that's -- so we like to see that versus some of the quick turn purchase order comes in and we ship within the quarter. So we're building some customer-facing muscle, and we're getting into these longer-term contracts. And they're really synchronized with the customers' end use, right? They have deliveries to their customers of their crafts, and that's really what sets the rhythm of when we deliver cells.
Alfred Moore: That's great. That's helpful. And maybe, Tom, just a follow-up there, sort of the flywheel effect of repeat orders. You had a nice 1 year. It feels like you're starting to hit critical mass. Just understanding things will still be lumpy, but how are you thinking about potential for these repeat orders to keep coming in and get bigger?
Thomas Stepien: We are incredibly optimistic, right? I mean we have a great product. It's industry-leading. The market is strong. There's a number of data points there. So we feel good about what we've got. We feel good about where we're going. This is a tricky quarter because of Thanksgiving and Christmas here in the U.S. Next quarter, we'll have some lunar holidays. So we got to work through some of that, but we feel good about where we are.
Alfred Moore: Perfect. If I could maybe ask one last one, related. I guess you talked about some funding anecdotally seen some interest out there on defense and drones. Just any more detail there and then government shutdown. Is that another thing you have to navigate that could slow things down?
Thomas Stepien: Yes, we're seeing some announcements. One of our customers announced today that they won an Air Force shoot-out, and we're obviously very excited to hear that. So it's starting. And if you take apart the Beautiful Bill as a couple of analysts have, these numbers are 4x, 5x in 2026 budget on what they were in previous years. So that bodes well for the future, and we're trying to make sure that everyone is aware of what we got, doubling flight time, extending payloads, that all is very meaningful in the eyes of our customers.
Ricardo Rodriguez: And if I may add just one last thing there, addressing your point on the shutdown, Chip. Our DIU contract has been getting paid on schedule even through the shutdown. So we feel confident about that.
Operator: The next question comes from the line of Sameer Joshi with H.C. Wainright.
Sameer Joshi: It was good color in the prepared remarks and some good questions as well. I would just like to dig into the pipeline -- dig a little bit deeper into the pipeline over the next, say, 4 to 6 quarters? And see whether it is mostly UAS-related or LEV is part of that mix as well? And then in relation to that, how does the margin profile -- the gross margin profile change? I know Ricardo, you had very exhaustive discussion about the lumpiness that we can expect over the few quarters. But does this product mix or end customer mix make a difference in the gross margins?
Ricardo Rodriguez: Yes. So maybe I'll address that latter one, and then I'll let Tom address the points on the pipeline. I mean I think I would look at the current gross margin that we have as a good base to build on with much of the variations are happening above this level, especially if we're able to get incremental revenue. So we're not concerned on falling below the current levels on mix above the current revenue levels, right? But definitely, some of the longer, larger volume agreements have different pricing than shorter-term very specialized applications. And that's what will drive the potential fluctuation in the gross margins. And then at the same time, we're managing obviously a pretty dynamic tariff and logistics environment where fortunately, we're able to price for a lot of the stuff but that can drive lumpiness in this as well.
Thomas Stepien: Yes. On the first part of your question about the complexion of the pipeline, it's strong, as we mentioned, and it's growing. This quarter, we said it was 75% aerospace, right? That includes these high-altitude platform systems, drones, electric aircraft, both the conventional wing and the vertical takeoff. That 75% was actually down a little bit on a percentage basis compared to Q2, but the revenue was up by the 42% that we talk -- that we spoke of. So I look at that as a better balance between some of the other segments that we're serving, especially light electric vehicles. So it will be similar, maybe a little bit higher, a little bit lower in terms of that 75% next quarter, but better balance, I think, would be my main message there on the pipeline.
Sameer Joshi: And just to make sure, the margin profile for these 2 sectors is different, right? Or is it -- are you maintaining the margins for the LEV as well?
Thomas Stepien: The margins are similar for the LEV as for the aviation market. Yes.
Sameer Joshi: Yes. And then just a clarification or maybe a little bit color on this Amazon Devices Climate Tech Accelerator program, how significant should we consider this to be for you as a company going forward?
Thomas Stepien: It's a multi-phase program that we're in, and we've made it to the second, third round. We're actually up in Seattle today, as a matter of fact, talking to them again. We think of it as having a seat at the table. It's sometimes hard to break into some of these large companies. But when you get invited in, as we have, you get quick access to the engineering folks and you're able to tell your story more efficiently. So look, we still got to do a lot of work, and we still have to win their trust and their business. But we have a seat at the table.
Sameer Joshi: Ricardo, congrats on joining the company.
Ricardo Rodriguez: Thanks so much. Happy to be working together.
Operator: The next question comes from the line of Ted Jackson with Northland Securities.
Edward Jackson: I'll try to run through a quick. I know we're coming to the end of the call. Just a housekeeping one. With regards to revenue, did you have any design service or government grant revenue in the quarter? And if so, what was it?
Ricardo Rodriguez: The government grant was actually in our other income, and it was roughly $400,000.
Edward Jackson: You introduced 5 new SiCore sales during the quarter. I mean the last time you gave any kind of color with regards to the number of SKUs the company had was at 14. Where are you at with the SKU count right now?
Thomas Stepien: We have 20 SKUs, more coming, but the catalog today shows 20.
Edward Jackson: You kind of backed into your capacity saying that you had about 50 million cells of capacity based upon your most popular cell which begs the question with -- I don't know if we could talk about the quarter, year-to-date, however, kind of what's your run rate with regards to that capacity? If you can make 50 million -- theoretical 50 million cells like your, call it, $21 million of battery products that you sold in the quarter, what would that be on an annualized run rate?
Thomas Stepien: Yes, I don't think...
Ricardo Rodriguez: Yes, that one is tough to pin explicitly because given the different SKU count, right, and the fact that...
Edward Jackson: No, I'm asking if you assumed that it was just the same battery. You see what I'm saying like -- I'm just trying to get a sense with regards to you've got this much capacity, like where are you in terms of filling it, where we get to the thing that your margins are going to be north of 20%, you're at 80% of that capacity. You see where we're going in terms of the thought process. So how far -- where you are right now? How far are we to getting to that 80% because then it gets -- kind of when you think about well, that's where we can think about your margins. So I'm not asking -- I'm just kind of asking like if you assume that you were -- I don't know, but you keep on going.
Ricardo Rodriguez: Yes. I mean it's a highly theoretical question because in reality, it's not working that way, but it would be a couple of hundred million dollars, right?
Thomas Stepien: Yes. I remember we said -- Yes, I think we said, it was the Kang in our May call that if we actually utilize that 1.8 gigawatt hours of capacity, we'd be a $1 billion company.
Kang Sun: Right. You use our ASP today times the capacity availability, we are going to be a $1 billion business.
Edward Jackson: Okay. A little nuance question with regard to the gross margins. You're at the point now where you're taking a lot of your engineering work at a cost of goods and bringing it down engineering. It's just kind of part of the process of the growth of the company. That happened this quarter. Do we have to see -- are we going to see more of that in periods to come? And was that something that we're not going to see as much of an impact with regards to the margins? What kind of noise will we see with that in the coming quarters or the coming year?
Ricardo Rodriguez: Very little. I mean, that adjustment here quarter-over-quarter was just a couple of hundred thousand dollars. It was not -- it didn't cross the $1 million line within our cost of revenue.
Edward Jackson: Okay. And then I'll ask one more that's more front because these are all kind of little pivot ones. With regards to -- you're being funded to build a pilot line with this DIU contract. And then what's the end game with that? So then you have this pilot line that you put together, done a proof of concept for the government that you can make, what does they want? I mean is that something then that they have the process and then they're going to fund you to make a bigger factory that then they're going to go out and bid for someone else to do it. I'm saying like where does that -- what's the vision for that, assuming that it goes forward and you get success?
Thomas Stepien: Yes. Let me take that. So the DIU, a couple of points here. First and foremost, it was a competitive solicitation. I think there were 7 or 8 other companies that took a swing and they chose Amprius. We have a pilot line in Fremont. The dollars that we have received helps increase the capacity of that pilot line. And then, as Ricardo mentioned in his part of the script, also the capability, we are adding electrode manufacturing. That part of the factory of our pilot line did not exist. Their interest, the DIU's interest is domestic batteries. And they see us as in the front of the pack, and they want to encourage us to make those available. There are certain sizes that are very popular. I mentioned the SA08, that's a very popular size. They want us to make those and the idea of a pilot line, of course, is that we have those capabilities for many of the defense customers and whether it's primes or the folks who the companies that serve those primes.
Edward Jackson: But I mean like -- I mean a pilot line is still not making -- it's not a production level facility. I mean the goal is for them to -- goal that clearly is for them to develop a domestic battery production capability. I mean do you ever have any discussions with them with regards to what that might look like as they go forward with a larger factory? Does Colorado come into play? Would they -- if you go proof all this out, would they want you to go license your capabilities, you see them going like what's the kind of the longer end game with it? I mean unless you don't...
Thomas Stepien: Sure. Yes. We're very close with the DIU and the DoD generally. Their interest is, as you say, domestic batteries. They have said publicly that there are solicitations that are coming out early in this fiscal year, probably delayed here because of the shutdown, but I think we'll see some specific additional solicitations related to domestic production.
Edward Jackson: Okay. Well, it's 5 O'clock. I could keep going. Congrats on the quarter. Super exciting to cover you. So talk to you on.
Thomas Stepien: Thank you.
Operator: Thank you. At this time, this concludes our question-and-answer session. If you have any additional questions, you may contact Amprius' Investor Relations team at IR@amprius.com. And now I'd like to turn the call back over to Dr. Sun for his closing remarks.
Kang Sun: Thanks again, everyone, for joining us today. As a reminder, you can find out more about our company, receive additional updates and learn about the upcoming events from the Investor Relations section of our website. We look forward to updating you on the exciting progress we are making in transforming the electrical mobility market. Finally, I'd like to thank our employees, partners and the shareholders for their continued support.
Operator: Thank you for joining us today for Amprius Technologies Third Quarter 2025 Earnings Conference Call. You may now disconnect. Have a good day.